Operator: Good afternoon, and welcome to the Digital Ally Incorporated Second Quarter 2013 Operating Results Conference Call. All participants will be in listen-only mode. There will be an opportunity to ask questions at the end of today’s presentation. (Operator Instructions) Earlier today, Digital Ally Inc. issued a press release that included certain cautionary language with respect to forward-looking statements. The company would ask you to review the language in the press release regarding forward-looking statements as they are equally applicable to any forward-looking statements made during this conference call. (Operator Instructions) Please note this conference is being recorded. Now, I would like to turn the conference over to Stan Ross, CEO. Mr. Ross.
Stan Ross - Chairman and Chief Executive Officer: Thank you very much. Thanks everybody for joining us today for our second quarter operating results. I have with me today, Tom Heckman, who is the company’s CFO. Tom will be going over the details of the numbers. As you can see, we have to continued to make a lot of progress on a lot of the fronts in regards to Digital, and obviously, if you have seen some of the most recent press releases, you also see that we got a fairly good start to the third quarter as we mentioned in the press release as far as operating results. I am not trying to steal the thunder, but we will elaborate on why we are optimistic about the third quarter. And we, for the first time in many years actually given guidance in regards to what we believe the operations can generate here in the third. So, anyways, there is one thing I do want to touch on and we will elaborate on quite a bit is I believe it is on the 23rd we issued a press release concerning some patents that were awarded to the company. These are patents that we filed back in April of ‘08 and they covered our main product lines, mainly the in-car video system that was totally encapsulated in the rearview mirror, with also some additional features that we had and the abilities that we had with that particular model. So, while we were as many of you may know that have been shareholders for a while back in, I guess, it was March of ‘06 when we started shipping product, we rolled off nine consecutive record quarters, and it had a lot to do with the bizarring and the quality of the products we were generating at the time. And all of a sudden, our competition started copying and was very hard in regards to also trying to encapsulate a device utilizing the rearview mirror, mini-cup cars, you are quite thorough with the other equipment in there, and so the least amount of space you could take up the better. So, while we did put a few of those companies, I will notice that try to emulate what we were, what we had created. We didn’t have the backing yet as far as the actual patents to go after them. Those patents now we have been notified that they will be issued to us, and we are very excited and unfortunately for a few of our competitors, they have got to be very disappointed in the route they are going to have to go going forward. That being said, we also were made aware of the picture called the voice ball, which has to do with our radio that the officers all use that, that has the recording going transmitting back to the vehicle. This particular device if there is some reason they would go into a building, get out of range, whatever the reasoning would be, the radio knows to then start storing that data onboard on its radio that it is on heat that he is carrying. And then it can sink backup when it gets back to the range into the back office. That feature was unique to us in the very beginning, continues to be in the industry, and now a patent has been issued to matter of fact received an e-mail today of the patent numbers that actually weren’t associated with that. So, I think the company has done a lot of great things over the years, but now actually having some patentable IP that starts to come into the value that we are generating along with I think what Tom will express to you as the operating results going forward. This is just going to be a fun call today. So, I hope everyone has a little time to listen in. Tom wants to touch on the numbers.
Tom Heckman - Chief Financial Officer: Thank you, Stan, and welcome to everyone and thank you for joining on us today. First of all, I got a myth that I had a commitment that surface yesterday that calls us to have to delay the conference call today and I really apologize for that as certainly I couldn’t get out of and either to do and was company related it wasn’t personal, so I appreciate everybody understanding that and moving the timing of the call back a little bit so I could participate in it. Overall, first of all, we did file our 10-Q this morning. It is a full analysis, the operations of the company balance sheet and P&L wise and also very extensive management discussion analysis and has a lot of good data in there. I don’t plan on going through all of that, my god, but I will try and hit some of the high points and some things, interesting things at least as I see it that happened in the quarter and in the first half of the year. So, I’ll just provide a summary and then we’ll turn it back to Stan and we’ll go to a Q&A and answer you guys we will have some additional questions for us. So, first of all I just want to say that the second quarter 2013 was a very good quarter for us in virtually all aspects when you compare to the 2012 quarter, revenues improved 10% to $5.1 million, gross margins improved to 60% from 54%, SG&A expense improved by 9% although a year earlier included a $650,000 litigation charge in 2012, so there is a little bit of apples-and-oranges type comparison there. Our operating income improved almost $900,000, our net income improved over $1 million and EBITDA improved by $225,000. So, anyway you cut it, slice it, look at it, Q2, 2013 was light years ahead and then very much an improvement to last year. In fact, I would say that we are completely different company than we were a year ago. In essence, what we have done we’ve successfully implemented the couple of initiatives that I think are now very incurrent in our operating results. First of all, we did completely reorganize the sales strategy and our approach. We went from a distributor base, domestic sales model to an employee based direct sales model and it has been a success. You are seeing the improvements in sales, I think this is our third or fourth consecutive quarter of growth on the sales line, so that’s obvious that that was a good move for us and it’s taken hold and we are a better company for it. We completed our manufacturing initiative that included basically we are trying to get back to 60% gross margins and by gosh we did, we are over 60% or second consecutive quarter of over 60% margins. We are pretty proud of that and we did a lot of things in that regard. We looked at our production overhead and made some very painful and did cuts there. We are much leaner in more efficient production organization we were a year ago or year and a half ago. And we’ve also completely revamped our contract manufacturers or supply chain. And I think you are seeing the – that the results of that permeating through our cost of goods sold. And I think we’ve got the overhead and the overall structure – the infrastructure in place to maintain that 60% gross margin, which is important to us, it gives us a pretty good baseline to grow the company. SG&A cost containment reduction program has been successful, although SG&A did pickup in this quarter. We’ve really right sized the organization if you will from a general and administrative standpoint even a selling standpoint and SG&A costs have benefited from that. At the same time we’ve launched a numerous different products including DVM-100, DVM-400 and now most recently the FirstVu HD. We think that’s the direction the market channel is going into more body worn cameras and we’ve got the best product on the market right now by far is my opinion anyway. We’ve also developed our commercial event recorder channel. I think in the first quarter we had the very large sale that we put our press release on for the airport shuttle parking service. We continue to see in roads into major players in the fleet market outside of our ambulance business, which has been very strong in the past. In fact we are probably the number one player in the ambulance market. We are now branching out into other markets. So, all these things we successfully implemented in the last year and I think for those reasons, we are a much different, much better company for that. So, I think with that said the more important analysis is how the second quarter 2013 compared to our first quarter 2013. Our sales improved $270,000, or 6% quarter-over-quarter. Again, we are back above $5 million in revenues, which is a good place to be and it’s going in the right direction. It’s improving quarter-by-quarter. We maintain our gross margins as I said above 60% and quite frankly I think with the infrastructure we have in place that’s going to be our benchmark from here on or at least for the foreseeable future. Our SG&A expense increased $345,000 or 12%. So, our SG&A expenses increased 12% when our sales volume increased 6%, so double the rate that sales went up. So, that’s an elevated amount of SG&A. But if you look at the components of the increase I think it will become apparent that these were wanted and in some cases probably non-recurring type hits in the SG&A and it will come back in line. First of all R&D expense increased to $120,000 or 16% when compared to the first quarter. It is a fairly large job, but if you look into the details of that over 50% of that increase was non-recurring FirstVu HD type, final engineering type changes, certifications. We spent a lot of money on water, making the unit water resistant and maybe even water proof. I am very amazed of what they have been able to accomplish on water resilience of that HD. So some of that stuff was money well spent we had to get the FirstVu HD out the door and in production and we successfully completed that. So, we don’t see that recurring in the third and fourth quarters. We also, we increased our staffing in the engineering group. We are probably 3 to 5 headcount above where we were in the first quarter. That’s a significant jump, but and I think Stan will be the first to admit and champion when good quality engineers become available in the areas we need especially software, firmware, even PC development side people, we snatch them up. And in fact we did find some pretty good people that fit needs that we really needed to have filled and we went out and got these people. So, that’s obviously going to be a recurring charge, but we think it’s important that we get the best and brightest talent over there in our engineering group. I think you and – I know the management here is and I think the investors are being very pleased with the product suite that’s going to come out later this year and next year. Another component of the increase in SG&A expense was stock-compensation. Obviously it was up $88,000 or 85% compared to the first quarter, it’s a big percent, but it was started from a pretty low base, that’s obviously non-cash expense. And really what that is the Board made a decision to migrate more to restricted stock grants with lesser vesting periods and previously – previously we did primarily stock option grants over a period of 3 to 4 year of vesting. So, basically, the same type of compensation just condensing into a less of an amortization period, a one year amortization period. And then thirdly selling and promotion expense increased $140,000 or 25%. We really had a bunch of tradeshows occur in the second quarter and some of those three or four of those were international trade shows. And that’s an area that we are spending money and we want to develop and I think we will see results here shortly of the effort and the expense we are putting into our trade shows and in particular our international trade shows. Secondly, we do have a progressive commission structure that starts first of the year and progresses through the year. And we have one salesman that was very productive in the second quarter and has been for all the year and he has reached the higher compensation and commission levels. So, that’s one of those expenses you wish would increase forever because it means sales have risen – increasing forever, so a little bit of that increase was due to this progressive commission structure. As we look forward, SG&A expense was elevated in the second quarter, but looking forward, we think R&D will be somewhat higher than the first quarter, but not as high as the second quarter. We think it will reduce slightly or be about the same, but we don’t see that the type of increase we saw in the second quarter continuing in R&D. Stock comp expense based on the amortization schedule, we have restricted stock grants. The third quarter will be elevated. It will be another 80,000 above the second quarter in stock compensation expense, but it is non-cash. And then in the fourth quarter, it drops way back. It drops down about $120,000 quarter from third quarter to fourth quarter. So, we are going to see a little bit of a mountain in the third quarter that drops right off in the fourth quarter. Selling and promotion expense, I think, will decline as a percent of revenue, but the total dollars will probably increase because we are all expecting increased revenues in the second half of the year based on the pipeline we have out there. So, I think selling and promotion would come into line with the percent increases in revenue stream for the rest of this year. To sum it up, I think for the rest of this year, we need to continue to maintain our 60% flat gross margins. And if we continue to improve sales that will result in the profitable operations, because it should cover the elevated SG&A and get us back into profitability if we are able to increase revenues and maintain our 60% margins. Looking further into the revenues in the second half of 2013, a couple of things I will mention here. The FirstVu HD is tracking our predictions. It has been delayed the launch and production levels have been delayed a little bit, but it in no way tampers our enthusiasm and optimism with the revenue potential that unit is. In fact, I’ve got my numbers, Stan has got his number, but I would be surprised if we couldn’t generate $752 million in revenue in the third quarter from our HD sales based on what we have on the books already. As I said before, the FirstVu HD is truly the leader of that market. It’s a Body-Worn market. And I think we are seeing our channel move more into that direction. The commercial market is developing nicely. As I said before, we are expanding beyond the ambulance market. We are pretty much saturated at the ambulance market. There is not many of the bigger players that we haven’t got units in or will be getting units into. The likely candidates are we’ve got a couple of pilot projects going out in cabs, taxicabs throughout several larger cities in the U.S., some limos. And quite recently, we have got an opportunity to outfit the City Public Works Department of a pretty sizable, around midsize city. So, that seems to be an open market for us that we should have the product to answer their needs. So, I am very optimistic the commercial market will continue to develop. Now, let’s look at the downside. International revenues have been disappointing. There is no two ways about it. We have less than 100,000 in international revenues in the second quarter. Year-to-date, we are about same as last year in the international revenues. But I think that’s more because of a delay in a couple of opportunities that we have really expected to land in the second quarter. We don’t have those yet, but we are very optimistic that we will be ending up with some revenues from some pretty sizable international contracts here in the near future, hopefully in the third quarter, if not maybe in the fourth quarter. But again, the sales cycles for international opportunities are very unpredictable, very long, and you just don’t know it may all get approved and never funded. So, there is a lot of variables in the international sales. But we believe overall we have got the right strategy and the right people to execute that in that international market. Okay, going back to our bread and butter, the domestic law enforcement revenues, the outlook for the rest of the year really we have seen some steady improvements in that market in the domestic law market. Quite frankly, the state contracts that we have had been generating sizable revenues for us every quarter. We have bids in on two additional state contracts that we hope will be awarded on third quarter and that should generate some new contract revenues for us. But that’s still to be determined we have not been awarded those yet. As I talked about before the FirstVu is certainly going to help us revenue wise from the domestic law. And we do have another unit that we’ve introduced to domestic law agencies call the UltraVu which is a suit up motorcycle cop or ATV type product that I think will be a winner. Problem is that’s not a very large overall market force, so it’s not going to move the needle too far, but it is a nice product for that niche market. In essence, I think we can – we believe we can generate additional revenues necessary to get us back to profitability and coupled with holding the gross margin 60%, I really look for a nice second half of 2013 to put us back in the black. From balance sheet perspective, you will notice that our cash and cash equivalents were down in the second quarter of June 30 obviously that moves everyday and it’s hard to predict. But really what happened to us there we shipped two very large orders in June, towards the end of June that were in accounts receivable and not yet converted to cash. Those will convert to cash here in July, so that will replenish cash supplies very nicely. Also we had increases in the inventory primarily due to buildup of the FirstVu inventory. We were anticipating launching that thing early in June, it did not get out till late June, so we have build up in FirstVu inventory plus we had a number and I’m talking 200 or 300 DVM-750s builds and sitting on the shelf in anticipation of couple of orders that we were expecting to hit. So, we were optimistic that those will hit and our inventories will go right back down and as we convert that inventory to cash our cash and cash equivalents would be much improved when we look at this at the end of third quarter. The sub-debt is now current, it’s due in May of 2014. Stan and I are beginning discussions with the holder of that debt as to where we are going with that. Quite frankly I think with the cash we will generate here in Q3 and hopefully Q4 that we will have a lot of alternatives to do what we need to on a sub-debt. Other matters, Stan already talked about the patent issuance that occurred – that is a very, very important event for us as a company. Previously we have one or two other patents that weren’t particularly valuable to us in the law enforcement area these two are very valuable to us and we are going to do what we needed to protect our market there. The Z3 litigation is moving forward. We got notification that the appeals hearing is in September out in Denver at the appeals court. We are very hopeful that we will get a good result from that. And although I’m sure it won’t happen in the third quarter, but potentially the fourth quarter is not that but first quarter of next year we’ll get some resolution on that Z3 appeal. If you look at our balance sheet we’ve already accrued the total award or the litigation award under that contract 530 some thousand dollars or so. And we have placed the cash burn of $670,000 with the court, so if that event is resolved very much to our favor then we will have $670,000 of cash going back to us and a big credit P&L as we un-accrue that litigation liability. If it goes against us, we’ve already got the cash put up so we’ll have no effect on our cash balance and the accrual is already been made so there would be no effect on the P&L. So, really in my view we can only get good news from the resolution of that Z3 matter. You might have if you have read the 10-Q approves that we have a couple of new litigation items I want to briefly touch on. One is our supplier of laser alloys, we have filed a loss against them on some trademark infringement and another matters. I don’t really want to get too deep into the facts of that case, but we the company and our attorneys believe we have a very, very good meritorious case here to go after Dragon Eye and resolve that lingering minimum purchase supply contract that we have with them. We also have, I would say, a minor lawsuit against one of our contract manufacturers. This is a manufacturer, a foreign manufacturer, overseas obviously that provides PCB boards to us. And quite frankly, they become and have been unreliable source for us and because their primary inventory item product that they were delivering to us goes into our 750 model. Their unreliability in terms of delivering product to us was very concerning, especially based on what we see in our pipeline in terms of sales and where those things going. So, we basically filed a lawsuit to now avoid a couple of POs. And these POs are minor in nature. There is 25,000, 30,000 or less in total value left on those POs, but they are 6 to 8 months late already on delivering those PCB boards. So, we are trying to clean out our weak unreliable suppliers. We have already brought a new supplier onboard. They are slated to begin supplying us new PCB boards in September, but it has been a process and we needed to get to a more reliable provider of those boards based on where we see the revenues heading. Overall, it was a good quarter for us, but it was disappointing that we did have a net loss at the end of the day. But I think with the revenues increasing and maintaining our gross margin, I think Q3 and Q4 look very, very bright for us.
Stan Ross - Chairman and Chief Executive Officer: Good, thank you, Tom. I appreciate it. I think what we will do is go ahead and open up the phones to the Q&A session, and then we can close with some final comments.
Operator: Okay. (Operator Instructions) And currently sir, I am showing no questions in the queue.
Stan Ross: Well, I think Tom did an excellent job of trying to explain everything. I do see a few people hopping in the queue.
Operator: Okay, thank you. Our first question will come from George Whiteside of SWS Financial Services. Please go ahead.
George Whiteside - SWS Financial Services: Stan and Tom, congratulations on a great quarter, and I know you are going to strive to improve upon it in the future, but certainly it represents excellent progress. Just an accounting question, I noticed that on your balance sheet, you have intangible assets and I am sure it’s been there for sometime. I presume that this was created by an acquisition at some point in the past, is that a reasonable assumption?
Tom Heckman: Well, yes and no, George. The majority of that intangible asset is the legal cost for us supplying for and prosecuting our patent and trademark out there. And in fact what you do is the accounting is our legal fees and all the fees necessary to file and protect a patent or capitalize and you amortize them as soon as the patents are awarded. So, since these two patents were awarded in June, we will start amortizing a piece of that in July. So, that’s really the cost of getting the patents and trademarks that we have in place now.
George Whiteside - SWS Financial Services: Well, thank you for that explanation. And I think it’s great or the reason for it, I know you don’t like to have legal cost, but the fact that it produced something that is positive for the company is excellent. My second item is I noticed regarding taxes that you have a balance sheet item, where you have taxes payable with your NOL, I thought you would not have any tax liability for a considerable period of time and that your earnings for years to come will essentially be without taxes?
Tom Heckman: Yes, George you are absolutely right. The NOL I think is around 7 million or 7 million plus. And that does offset pretty much all of our federal taxable income in most of the state. What this refers to is some of the newer states what we have filed in. Every year, we are filing additional states. And those states don’t recognize previous NOLs, so that’s basically that. That’s really state income tax liabilities that we have on the books. They are pretty minor, couple of 5,000 or so, but we do have to pay a portion of those state taxes because of the newer states that were involved in.
George Whiteside - SWS Financial Services: My next question involves your patents, Stan had indicated that you have challenged some competitors who began using some of your “technology” and now that there has been an award, will that allow you to perhaps get some type of settlement fee, license, etcetera?
Stan Ross: Yes, George, this is Stan. I mean, I think there is two avenues, those that you put on notice that they were a violation, you actually can go after them in regards to damages that may have occurred from that point going forward. I mean, that’s one of those things you put them on notice. The ones that are continuing or have a product that’s similar to ours that want to and if we elect to allow them to continue down that path, they need to be talking to us concerning some type of royalty to continue to draw that way or otherwise they need to be taking their product off the market or in the situation we will definitely call them on the carpet and have the coach to do so. And they were strong, I mean, I know of one or two in particular worthy competitors that are out there that will not like these moves at all.
George Whiteside - SWS Financial Services: Good, thank you.
Stan Ross: Thank you, George.
Operator: And our next question will come from Jeffrey Scott of Scott Asset Management. Please go ahead.
Jeffrey Scott - Scott Asset Management: Good afternoon.
Stan Ross: Good afternoon Jeffrey.
Jeffrey Scott - Scott Asset Management: First question on the state contracts that you are buying for the contracts are not all or not, are they?
Tom Heckman: Some are Jeff, I don’t know the one that I am aware of right now is an exclusive the other one I don’t think is. So, I think there is one on one, but we have got 14 or 15 state contracts, 15 state contracts probably about half and a half were if you have the state contract, you are proved to sell within that state, but there maybe three or four other ones. And there is about a half of them that are truly exclusive state contracts. And it’s usually if they are exclusive state contracts, it’s exclusive with the state patrol, if you will for that that state.
Stan Ross: And Jeff, some of them to those, they go as far as when they are doing, they are getting back to the specs, the one in particular that we are waiting on basically talks about the features that they would like to see, but then the last is that, it must be encapsulated in a rearview mirror. So, yes, definitely with today’s patents, I think we may be the only player.
Jeffrey Scott - Scott Asset Management: Okay. I like to drill down on the revenue number a little bit. The other revenue that would be repair and service, correct.
Stan Ross: Well, it is repair and service and we also sell parts to our, but it’s primarily repairs and service.
Jeffrey Scott - Scott Asset Management: Okay. What was the total of the commercial sales, the non-police sales this quarter?
Stan Ross: I would have to do a little bit of digging here, but it had to be in the $250,000 neighborhood. I can get you exact number.
Jeffrey Scott - Scott Asset Management: Okay. So, what we are looking at is about $4.5 million of police revenue?
Stan Ross: Correct.
Jeffrey Scott - Scott Asset Management: Right. And how many salesmen do you now have onboard. Is it 20?
Stan Ross: It’s right at 18 for us out in the field and then we have four in house sales coordinators for support.
Jeffrey Scott - Scott Asset Management: Okay. How many of those 18 would have been above $150,000 in sales, I mean $4.5 million divided by 18 is $250,000 each?
Stan Ross: And you are asking me how many would be above $150,000?
Jeffrey Scott - Scott Asset Management: Yeah, I would like to say $100,000 or $150,000 whatever kind of you want, yes, I don’t have that number.
Tom Heckman: I don’t – we have don’t have specific numbers in front of us Jeffrey but I would say that the vast majority of them were over $150,000.
Stan Ross: The thing about it is I mean we obviously had one of the (indiscernible) that had an unbelievable quarter, but the rest of them were just pretty steady as you go.
Jeffrey Scott - Scott Asset Management: Okay, alright at $150,000 I mean 10% commission is $15,000 per quarter and $60,000 a year that’s not a great living. Is that enough to keep them happy, are they happy, I mean are you happy that kind of level?
Stan Ross: Well, we have a structure in place that most of them need to we would like to see them easily come into the – to get into – let me back up you getting to the power band earnings they need to get into that $1.5 million mark for the year. They may make some very good money. So, the way it’s structured they are plugging away there, and if they start to get little momentum they will see it at year end, but every year, they got to pick it up again. So, go ahead.
Jeffrey Scott - Scott Asset Management: You are saying they need to get to a $1.5 million but if you take $4.5 million for the quarter divided by 18 sales people that’s only $250,000 for the quarter hence four is $1 million on an annual rate and that’s on average, so there have to be a fair number of people that are going to be some distance away from a $1.5 million?
Stan Ross: That is true, that is true. In some territories, I mean California is bare, I mean they just don’t have a lot of money out there. The certain regions that are going to be a lot tougher than others that we already have established state contracts in, so it varies. It sounds like you are still struggling with trying to get the productivity out of the sales force that you should expect. I think I have given the productivity out of the sales force. I don’t know that the opportunities are equal throughout the territories would be how I would be more address it. I mean I know these guys are after beating the bushes and calling upon people and showing our products I mean we they go into the trade shows and certain areas just have access to more money than others. At the same time, you got to stay in (indiscernible).
Jeffrey Scott - Scott Asset Management:
Stan Ross: June 30th, it was right on $1.8 million.
Jeffrey Scott - Scott Asset Management: $1.8 million. Okay, (indiscernible) on sale though the end of September, correct?
Stan Ross: Yeah, we did – I don’t know if it’s in the September, but it was a summer sale roughly 2000 a piece.
Jeffrey Scott - Scott Asset Management: Yeah, what is your expected level of inventory by the end of September? Is that going to be moving out?
Stan Ross: Yeah, they are moving out I would tell you that. Although we got a lot to move, obviously there is several contracts Jeffrey that we are getting on and we have sharpened our pencil and we have very high hopes of getting those. If those occur we could see a substantial reduction, but again it’s hard to predict if and when those contracts will award if we win them. And then quite frankly some of them were even international and good knows the sales cycles on those things.
Jeffrey Scott - Scott Asset Management: This is beginning to sound a little bit like a broken record because you said the same thing at last quarter international sales was supposed to be right around the corner end of first quarter, the first few sales were going to – was supposed to happen in the next week means this is why turning the contract 90 days in a lot of ways, is it not?
Stan Ross: Well, again as Tom has mentioned and as has been real evidence, the international stuff is just no one like to spend the timeline on that, because it is so unpredictable on how that will happen. Domestic sales, we are seeing a steady increase in the sales. The price has been attractive in comparison to our competition. So, we are making a strong effort to move these products. All-in-all done, I mean, even….
Jeffrey Scott - Scott Asset Management: Sort of closed down.
Stan Ross: Yes, and then you’ve got even the contract that we have with them expires in February in either case. So, there is a few more if, but as you know, we have some litigation going on there, but we just can’t elaborate on the whole lot.
Jeffrey Scott - Scott Asset Management: Okay I’ll drop out for somebody else. Thank you.
Stan Ross: Thank you.
Operator: (Operator Instructions)
Stan Ross - Chairman and Chief Executive Officer: It looks like we are good. Well, I would like to thank everyone for tuning in today. I mean, obviously, you can hear the enthusiasm, you can look at the numbers, you can hear and see that the new products seems to be a tremendous amount of interest around those as we start to roll them out and that the new IP value that we received through our patents continue to enhance the value for our shareholders. And matter of fact, we will be attending on Friday, the FSX Conference in Fort Lauderdale, Florida, which Tom and I will be presenting on behalf of Digital Ally. So, we look forward to being able to talk to everyone next quarter. And we appreciate your time today.
Operator: Thank you. To access a replay of this conference, you may dial 1-877-344-7529, or 1-412-317-0088 beginning at approximately 6 o’clock p.m. Eastern Time today. You will be prompted to enter a conference number, which will be 10031724. Please record your name and company when joining. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.